Operator: Hello, and welcome to the Cineplex Inc. Q4 2024 Earnings Conference Call. My name is Alex, I'll be coordinating the call today. [Operator Instructions] I'll now hand over to your host, Rayhan Azmat, Vice President, Investor Relations, Corporate Development, Financial Planning and Analysis. Please go ahead.
Rayhan Azmat: Good morning, everyone. I'd like to welcome you to Cineplex's Fourth Quarter 2024 Earnings Release Conference Call today hosted by Ellis Jacob, President and Chief Executive Officer; and Gord Nelson, Chief Financial Officer. Before we begin, let me introduce myself. I am Rayhan Azmat, Vice President, Investor Relations, Corporate Development, and Financial Planning and Analysis. I'll remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results may differ materially from those expressed in forward-looking statements. Information regarding factors that could cause results to vary can be found in the company's most recently filed annual information form and management discussion and analysis. Following today's remarks, we will close the call with our customary question-and-answer period. I will now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Rayhan. Good morning, and welcome to our Q4 2024 conference call. Before we get started, I wanted to share that our thoughts are with our friends and colleagues in Los Angeles as they start to rebuild their communities following the tremendous loss due to the recent wildfires. As we look back on 2024 and our fourth quarter, I want to highlight some accomplishments across our businesses. Starting with exhibition. Despite the box office having a slow start last year, it definitely closed on a high note. Overall, the 2024 film slate offered moviegoers a wide range of films to keep them coming back with sci-fi, animated, family favorites, to Marvel Cinematic Universe, R-rated action comedy, and a majestic film adaptation of a successful Broadway musical. The first quarter started off with the much anticipated and now Oscar-nominated Dune: Part Two. The film was one of Cineplex's top five movies of the year and it was clear fans of the film wanted to enhance their moviegoing experience with 64% of its box office at Cineplex generated from premium experiences. The summer kicked off with family films starting with Inside Out two in June, which captivated audiences around the world, becoming the highest grossing animated film of all time, surpassing $1 billion in box office revenues in 19 days, the fastest animated film to do so. The movie also had a remarkable staying power with 8 consecutive weeks in the top five at the domestic box office. Despicable Me 4 followed closely behind in July and became the second-highest grossing film in the franchise, generating $360 million at the domestic box office and holding a spot in the top five titles of the domestic box office for seven consecutive weeks. The buzzworthy Deadpool versus Wolverine; Deadpool & Wolverine rolled onto screens in late July, becoming the highest grossing R-rated film of all time both domestically and globally, surpassing $1 billion in worldwide box office revenue and staying for an astonishing nine consecutive weeks in the top five domestic box office. Wicked reinforced the power of the cinematic experience, bringing audiences together to enjoy the magic of musical on the big screen. Stage-loving fans and newcomers to the story made this the top grossing film worldwide based on a Broadway musical. Moana 2 originally intended for a streaming release on Disney+ showed the unreplaceable power of the theatrical box office has in delivering record-breaking results. It achieved the largest global opening of all time for an animated film. These record-breaking titles not only brought audiences of all ages to the theater but also achieved strong multiple week-over-week, showing there is power beyond the opening weekend. These are just some examples of the remarkable films that captured audiences this year, many in premium formats, helping us achieve an annual box per person record of $13.09 and a concession per person record of $9.47. Looking specifically at the fourth quarter, the winning trio of Gladiator 2, Wicked, and Moana 2 helped deliver a record-breaking box per person of $13.26 and an all-time fourth quarter concession per person record of $9.41. The key initiatives helping us achieve these record-breaking results include our premium offerings, leveraging our robust data, and the ongoing success of our international programming. Last year, we saw premium experiences capture almost 42% of total box office revenues for the year. In 2024, we added three new ScreenX auditoriums, one UltraAVX screen, insurance to a certain degree. So new D-BOX location, and 4 IMAX screens. Nothing compares to watching a movie on the big screen with the best sound. The consumer demand for premium viewing options emphasizes the unique power of the cinematic experience. Premium experiences are a competitive advantage for Cineplex, and we will continue investing in premium offerings to generate both revenue and bottom-line growth. We attracted audiences to their favorite films this past year by leveraging our robust data. The use of data to drive incremental attendance and increased spend will continue to be a key differentiator for Cineplex's future growth. We are using data models, predictive analytics, and marketing automation platforms to drive attendance through personalized campaigns. In addition, we are leveraging the over 15 million Scene+ members to drive new visits and target lapsed customers. Over one third of our Scene+ guests in Q4 were either first-time visitors or lapsed customers who were coming back after a 2-year or more absence. Leveraging the Scene+ database and marketing channels will continue to be a strong acquisition opportunity. As a reminder, the adjusted EBITDAaL contribution for each incremental guest is approximately $14. Also contributing to box office success this year and in the quarter was the consistent strength of our international cinema. In 2024, international programming represented 10.2% of our total box office revenues compared to only 3.7% of the North American box office. We have developed detailed film seeker models that analyze global content to identify which international content will most likely resonate with Canadians in the right markets. Using these models helped us to break 3 Cineplex records this past year. Jatt & Juliet 3 became the highest grossing Punjabi film in Cineplex history; Hello, Love, Again, the highest grossing Filipino language film for us; and The Last Dance, the highest grossing Cantonese language film in our history. We continue to be the destination of choice for international content amongst the diversified population across Canada. This is not only beneficial to our exhibition business but a significant and unique opportunity for our media business, which we are leveraging to attract new clients and drive incremental media revenue. South Asian films led the international cinema box office in 2024 including 9 of the top 10 international films at Cineplex. With the South Asian demographic being one of the fastest-growing groups in Canada, we offer a unique advertising opportunity to transform audience engagement and create new opportunities for authentic brand connections. Paired with the strength of our international cinema, our first-party data can help advertisers reach South Asian moviegoers and extend cinema campaigns through digital channels. The ability to leverage both our extensive data, the strength of our international cinema will be a key opportunity for cinema media sales as we move forward. While the wide range of films broadcast into our theaters, we also had an incredibly busy fourth quarter, opening three new LBE locations across the country. The continued rollout of our Rec Room and Palladium locations plays an important role in delivering growth and shareholder value and strengthening our leading position as an entertainment destination for Canadians. The Rec Room Royalmount opened in November alongside a new 5-screen premium Cineplex theater, making it our first LBE location in Quebec and becoming a one-stop destination for entertainment. It's located in the Royalmount District, Montreal's premium shopping, dining and entertainment destination, set to become one of the leading retail developments in Canada. In December, The Rec Room Granville, our much-anticipated location on Granville Street in downtown Vancouver, opened featuring 45,000 square feet of gaming attractions, and dining. It has become a top entertainment destination in downtown Vancouver and one of our top-performing locations since the opening. We are especially excited about our new mini-golf attraction areas, The Palms, which is proving to be a huge draw for millennials and corporate groups. Lastly, our fourth Palladium location opened in December adjacent to a Cineplex Theater at Fairview Mall in Toronto, attracting families from across the greater Toronto area. The box office strengthened as the year progressed and we saw our media business follow some achieving cinema media revenue per patron of $1.84, which represents a 10% increase over 2023. As our recent Lumen study proved, cinema advertising stands out as the ultimate attention leader with 100% of audiences viewing ads on the big screen and an average of 80% active attention across all demographics and ad lengths. With proven attention scores 2 to 5x higher than linear and connected TV and up to 9x higher than digital video channels, our cinema media business will continue to grow and capitalize on the unparalleled impact cinema advertising offers. We are one of the few movie companies that own our cinema media business. As a result of new digital out-of-home clients in 2024, including Cadillac, Fairview and Cominar, Cineplex Digital Media achieved a 44.3% year-over-year revenue growth and a 70.2% Q4 revenue growth over prior year. CDM operates Canada's largest digital out-of-home shopping media network in public spaces such as malls and office towers. We believe the strength of our digital place-based media assets, combined with our diversified channel offering, make us a leader in the indoor digital signage industry and provides a platform for significant growth across North America. We attribute part of our strength in Q4 to the Canadian out-of-home Marketing and Measurement Bureau, welcoming Cineplex Media as their new member. Together with Cineplex Digital Media, Cineplex Media became part of its inaugural mall measurement methodology. With this new accreditation and measurement approach, we ensure our digital out-of-home clients receive the most value and transparency for their impressions. This further solidifies our leadership in the digital out-of-home advertising space as we continue to win new business and roll out new campaigns. Before I conclude, I'd like to provide a brief update on our appeal of the Competition Tribunal's decision regarding our online booking fee. On October 23, we filed a Notice of Appeal with the Federal Court of Appeal to overturn the Competition Tribunal's decision. With the consent of the Competition Bureau, the Federal Court of Appeals granted a stay of the Competition Tribunal's judgment, pending a decision on Cineplex's appeal. While we disagree with the tribunal's decision, we have modified our website. We remain confident that our fee was always presented in a clear and prominent manner and fully complied with the spirit and letter of the law. As a reminder, this ruling has no impact on our ability to charge the online booking fee, and we will continue to offer the optional value-added convenience of advanced online seat selection to our guests. As we close 2024, I'm incredibly proud of what we accomplished last year, managing the ebbs and flows of the film slate, opening three new LBE locations, a new theater, growing our media business and continuing our efforts to stabilizes the business with sustainable long-term growth. As we move into 2025, there are a few standout movies, including Captain America: Brave New World, and Paddington in Peru to open on Friday, and Snow-White releasing in March. We also have two international titles, Ne Zha 2 in Mandarin and Chhaava in Hindi launching this week. Rolling into Q2, we have established IP like Mission Impossible 8, Lilo & Stitch, Karate Kid, and the live action How to Train Your Dragon. In the back half, Jurassic World Rebirth, Superman Legacy, The Fantastic Four First Steps, Tron: Ares, Wicked Part 2, Zootopia 2, and Avatar: Fire and Ash are set to draw audiences to experience these films on the big screen. Before I wrap up, I want to reinforce that we are optimistic the momentum of our business will continue into 2025 with SWAT shaping up to be a strong year for the film slate. Our diverse media portfolio will drive unique value to advertisers to unparalleled consumer attention, capitalizing on the robust film slate, including our international titles. The recent growth of our LBE footprint across Canada further establishes as a one-stop destination for entertainment, offering guests best-in-class gaming, attractions, and dining driving both revenue and bottom-line growth. As we look forward, we will continue to differentiate ourselves within the market and drive industry-leading results. We are confident we will sustain this momentum and are positioned as one of North America's leading entertainment and media companies. With that, I will turn things over to our CFO, Gord Nelson.
Gord Nelson: Thanks, Ellis. I am pleased to present a condensed summary of the fourth quarter and full year 2024 results for Cineplex Inc. For further reference, our financial statements and MD&A have been filed on SEDAR+ and are also available on our Investor Relations website at cineplex.com. Our MD&A and earnings press release include a complete narrative on the operational results, so I will focus on highlighting select items in addition to providing commentary on liquidity, capital allocation priorities, and our outlook. For my comments on operations, all amounts following will be from continuing operations unless otherwise stated. As Ellis mentioned, we were pleased to see the continued return of the supply of film content in the fourth quarter. As a result of the 60.1% attendance increase, our total revenue increased 15.1% to $362.7 million, and our adjusted EBITDAaL increased 66.6% to $40.3 million. Our consolidated EBITDAaL margin increased to 11.1% from 7.7% in the prior year. Now let's take a closer at our segments. In the film and entertainment content segment, attendance increased 1.5 million or 16.1% to approximately 11.1 million. Total revenue increased 15.4% and segment adjusted EBITDAaL increased 259% to $26.6 million, primarily as a result of the attendance increase. We achieved record Q4 BPP and CPP results, which was quite an achievement, given the premium ticket price and significant food and merchandise spending provided by Taylor Swift fans in Q4 2023. We continue to focus on our portfolio and our costs. Although we added one new theater to our portfolio, our theater cash rent paid and payable was down 0.9% compared to the prior year due to theater closures and renegotiated rent deals. Compared to the pre-pandemic Q4 2019 period, our theater portfolio has decreased by 9 locations, and our theater cash rent payable has decreased by 6.8% as we continued to focus on strategies to reduce our fixed rent costs. Overall, the segment margin increased 9.6% -- or sorry, increased to 9.6% from 3.1% in the prior year quarter. Fourth quarter media segment total revenue increased 27.1% to $51.5 million and segment adjusted EBITDAaL increased by $2.5 million to $29.4 million. As compared to the prior year, Cinema Media revenue increased 5.7% to $30 million, primarily due to the attendance increase. Our digital place-based media business had strong results with total revenues up 70.2% to $21.8 million. Project revenues were up $3.3 million or 112.6%, and other revenue, which includes mall advertising revenue was up $5.7 million or 57.6% primarily as a result of the addition of Cadillac Fairview beginning in 2024. For the quarter, digital place-based media revenue increased to 42% of our overall media revenues, up from 31% in 2023. As a result of this mix shift, although segment EBITDAaL increased, the overall segment margin decreased to 57.1% from 66.3% in the prior year. And lastly, in our LBE segment, segment revenues were down slightly to $33.6 million from $34 million in the prior year. We opened three locations during the quarter, which resulted in preopening and other additional costs during the quarter. Store-level adjusted EBITDAaL margins were 23.6% versus 28.1% in the prior year, primarily as a result of the impacts of minimum wage increases, contractual occupancy cost increases, and select nominal expense recoveries reflected in the fourth quarter of 2023. At the segment level, segment EBITDAaL was negatively impacted by preopening costs of $2.8 million. At year-end, we had $84 million in cash and no drawings under the covenant-light credit facility, which has a capacity of $100 million. With the comprehensive refinancing plan, we have meaningfully pushed out near-term maturities and removed restrictions related to covenant testing, and no testing was required under the credit facility at year-end. As Ellis mentioned with respect to the Competition Bureau matter, we filed our Notice of Appeal on October 23 and have been granted a stay regarding the payment of the Administrative Monetary Penalty pending the Federal Court of Appeals decision. As we have mentioned previously, our capital allocation priorities included maintenance capital expenditures, continuing to strengthen the balance sheet to achieve our target leverage ratios, investing in growth opportunities, and providing shareholder returns in the form of share buybacks and/or dividends. We are pleased to report that under our NCIB program, Cineplex has purchased a cumulative 620,275 common shares at an average share price of $10.48, resulting in a cash overflow of approximately $6.6 million. This program reinforces our confidence in our business plan and our continued commitment to creating shareholder value. With respect to CapEx, our net cash CapEx for 2024 was $66.4 million, which was below our initial guidance of approximately $80 million. With 4 locations opening in late Q4, a portion of the cash CapEx related to these builds will fall to 2025. And as such, we expect our net CapEx for 2025 to be approximately $65 million. I would like to take a few moments to discuss the potential of new tariffs. As a reminder, our business is primarily based on providing compelling entertainment experiences to our guests in Canada and not transferring physical goods across borders. With respect to the threat of any US. trade tariffs, approximately 99% of our revenue is generated in Canada through our operations and facilities in Canada. And with respect to any potential reciprocal Canadian trade tariffs, I remind you of our overall cost structure, with approximately 78% of our 2024 total costs coming from 4 categories: film rent, employee costs and occupancy costs. All intangible items and not caught by any current tariff discussions represent 70% of overall costs. The next largest cost category is food costs, which represents approximately 8% of our overall costs. We are continuing to evaluate any potential impacts and additional sourcing opportunities for any items potentially caught by tariffs and do not believe that the currently proposed tariffs will have a material impact on our business. Now I'd like to take a few moments to remind our investors of the wo we see going forward. This is where we achieve or exceed pre-pandemic adjusted EBITDAaL levels on 75% to 80% of pre-pandemic attendance levels. With no near-term cash taxes due to the NOLs, in this scenario, we could generate in excess of $100 million of free cash flow and use this free cash flow to invest, delever, and provide additional shareholder returns. When the product flow return in the back half of 2024, we achieved 71% of pre-pandemic attendance. And if one excluded October, which was impacted by the performance of Joker 2, we achieved 74% of pre-pandemic attendance. So we believe we are well on our way. In summary, we believe there is a lot to be excited about with our long history of disciplined operations and capital management. We remain highly focused on creating long-term shareholder value. And with that, I would like to turn things over to the conference operator for questions.
Operator: [Operator Instructions] Our first question for today comes from Derek Lessard of TD Cowen. Your line is now open. Please go ahead.
Cheryl Arthur: Hey, good morning, Ellis and Gord. This is Cheryl calling in for Derek who is away at the moment. So first question is on the box office outlook. I'm just curious if you could talk about your outlook on the box office with 2025 and perhaps give us a breakdown by quarter. And also, anything you've heard in terms of the production activities? Perhaps any impact from the recent fires at Los Angeles?
Ellis Jacob: Yes, good questions. And bottom line is for 2025, we are looking at a much stronger film slate as we move forward. On this coming weekend, Friday, we are opening Captain America, which I expect to do very well, and Paddington in Peru, which has already opened overseas and is doing quite well. So that will get the month of February going to a good direction. And then in March, we've got Disney's Snow White, we've got Warner Bros.' Mickey 17. And April, there's Minecraft. And then as we go through, there's a significant number of other movies for the balance of the year, including things like Karate Kid. We've got Superman, which is going to be good. There's F1, there's lots of titles coming through. So we feel pretty strong about the balance of 2025. And I can't forget Mission Impossible, one of my favorite movies. And then towards the end of the year, you've got Wicked 2. You've got Avatar, Five Nights at Freddy's. There's a lot of films for the balance of the year. And what's good is we are not seeing the movement in the film slate like we did in the past. So to me, that's going to be very positive. And from a quarterly perspective, I think quarters two and four should get much stronger as we get towards the balance of 2025. I hope that helped you.
Cheryl Arthur: Yes, awesome. And I guess just one more before I requeue. So very strong results, obviously, on the digital place-based media. So I'm curious is the Cadillac Fairview contract still ramping up or should we expect more moderate growth going forward? And if you see any room or opportunity for more contract wins like this in Canada?
Gord Nelson: Cheryl, it's Gord here. Look, we're very excited about the addition of Cadillac Fairview to our network. Obviously, in our discussions in previous quarters, we talked about the ramp-up of that new business throughout the first half of the year. So as you take over a new network, typically, the business ramps up so we're excited to see where we ended the year in that network. And so you would expect growth over 2024 into 2025 just because the year included a ramp-up period. We'll have Cominar which we added at the midpoint -- or sorry, in Q2 of 2024. So you'll see the incremental full year impact of that. There are some other opportunities within Canada that we could look to add to the -- to our mall network. But obviously, Cadillac Fairview was a huge win for us.
Operator: Our next question comes from Adam Shine of National Bank Financial. The line is now open. Please go ahead.
Adam Shine: Hi, good morning. So, you've alluded to in the reporting that you've rolled out fully now across the circuit the online concession booking. Can you talk about some of the initial experience in terms of any upselling as well as any efficiencies from a margin perspective in that effort?
Gord Nelson: Sure, Adam. It's Gord here. So as we look at the back half of the year, again, some of the adoption is typically low as you roll out the platforms. On average, Canadians only go to the theater 4 to 5 times a year. So it will take time to traction. We are seeing incremental purchasing off of the app, which is what we've expected. But again, it's early days and it's low adoption at this point.
Ellis Jacob: And Adam, it's a convenience for our guests. It's very important and an overall attribute of what Cineplex can provide.
Adam Shine: The Cineplex Store, a nominal sale, but curious why even do that sale. And then separately, any other noncore divestitures possibly contemplated this year? And Gord, I'm sorry. I did not hear the CapEx guidance for '25. Maybe you can just repeat it.
Gord Nelson: Sure. So CapEx guidance, $60 million to $65 million. And again, that includes carryover of the locations that we've completed in the fourth quarter of '24. And then on the store, on the store then. So again, the business world has evolved over the past number of years. We've provided a certain store as a service to our customers. Worked very well during the pandemic when people couldn't come out and see movies. But with the expansion of kind of in-home options for content and the fact that we had a party that was interested in acquiring the business from us as we thought at this point in time, it made sense to entertain that option and sell the business. So again, the store was built initially at the time when people owned content and now people typically -- consumer habits have changed. With respect to your other question about other assets at this time, we're still looking to kind of build all of our existing businesses, and we're excited about where they're going. You never say never. If someone came in and made an offer that we thought was very accretive and we would entertain it.
Operator: Our next question comes from Maher Yaghi of Scotiabank. The lines now open. Please go ahead.
Maher Yaghi: Great. Thank you for taking my question. Maybe I'll start just with the closures of one of your competitors in Montreal. How should we think about attendance impact and maybe help that we'd see in Q1 since they closed, I think, yesterday? So any idea of what kind of attendance this can bring to your Montreal theaters in terms of upside? And on the media side, can you maybe just give us a sense of why your CMPP numbers went down in Q4 versus last year even though general revenues increased? Is that the repricing happening in terms of how much you charge or just a volume issue?
Ellis Jacob: So I'll take the first question and then Gord will respond to the second. As it relates to the theaters in Montreal, you know that we opened a new cinema, Royalmount and with 5 screens. We have seen some very strong results, and that should continue to improve because of certain of the closures. And it's really about where the theaters are located and what the impact is going to be as far as our locations. And we are seeing some benefits, and that will continue to get better as we move forward because the theaters were just closed a couple of days ago. So we expect to see continued improvement in the overall attendance in certain of the theaters in Quebec.
Gord Nelson: And then on the question of...
Maher Yaghi: Do you have a sense of what is -- sorry, just a follow-up on this one. Do you have a sense of what is your market share in the Montreal area in terms of the theater attendance?
Ellis Jacob: We have about 60% market share. 60% to 70% market share and the main other player in the marketplace is some independents and then the Guzzo.
Gord Nelson: And sorry, Maher, on the question on the media and the Cinema Media for patron statistics going down in the fourth quarter. You really need to look at the top films in the quarter. Both of the two top films are more oriented to kids audiences. And so advertisers are more focused on connecting with adults. And so -- and we had Taylor Swift, obviously, last year with lot of advertisers wanted to be connected with. So it's more the type of product that was playing in the quarter. We also did see, just towards the end -- into the fourth quarter, a little bit of -- as advertisers looked at consumer confidence weakening a little bit and there's a little bit of a pullback on spend. We also -- a big category of spend for us is pharmaceuticals, and they typically do not associate with kids-oriented product, they can't.
Maher Yaghi: Yes, I agree. So that's a good thing. So I just wanted to ask you, in terms of capital allocation, you mentioned the dividend in your prepared remarks. Is that -- could that be a 2025 event? Or at this point, you're mostly focused on the buyback? And on the buyback, I noticed you were quite active in October, November. You dropped off a little bit in December. I have not seen anything in January in your filings yet. But can you just help us understand a little bit your buyback strategy? How much you've allocated for the buyback maybe on a typical year basis in terms of amount of dollars you want to purchase? Anything quantifiable would be helpful.
Gord Nelson: Yes. So there's a lot in that question, Maher. So in terms of the first part of your question was related to dividends, I think we've been pretty clear that you want to see us on a sort of a retroactive basis being at 2.5 to 3x in terms of our overall leverage ratio. So that would be the precursor to see that happening. On share buybacks, we've been kind of clear in our communication to say that we're going to be opportunistic and balancing our investment to generate kind of growth CapEx. So we laid out the time lines in the fourth quarter, we opened 4 new locations. We'll have a little bit of that cost going through. So we're just, at this point in time, balancing that investment in growth as well as the share buybacks, which happened, I would call it, late Q3 to date. So again, we'll look, we'll be opportunistic, look forward how we allocate capital to share buybacks and growth.
Operator: [Operator Instructions] Our next question comes from Drew McReynolds of RBC. Your lines now open, please. Go ahead.
Drew McReynolds: Yeah, thanks very much. Good morning. Just a follow-up on Adam's question, Gord, on the Cineplex Store. Just is there any real -- any material financial impact that we should kind of consider as we model 2025?
Gord Nelson: No. Sorry guys. As you see, you will see from the EBITDAaL level, minimal contribution from any way from another revenue perspective and we'll probably flag it as we go along but you'll see a small decrease in other revenue category of slate in the magnitude or minus.
Drew McReynolds: Yes. Sorry, Gord, you're cutting out on my end here. I think you were quantifying a little bit of that.
Gord Nelson: Yes. So I said at the EBITDAaL level, relatively negligible at the other revenue level, so right now, our revenue would be in other -- sorry, the store revenue would be in other revenue, roughly around $10 million on an annualized basis.
Drew McReynolds: Got it. Got it, okay. That's helpful. And then a couple of items just for 2025. Just help us kind of think through to an earlier question on Cineplex Digital Media and how the two more recent contracts kind of flow through here year-over-year in 2025. Like at a high level in 2024, you did $56 million in Cineplex Digital Media. Can you give us a sense of just what kind of year-over-year growth, even if it's a broad range, we could see for 2025? And then secondly, on the cost side, there's obviously minimum wage impacts that flow through in 2024. What kind of minimum wage kind of residual impacts do you expect will be still hitting Cineplex in 2025?
Gord Nelson: Yes. So thank you on both of those questions. And so first of all, to date, obviously, you've seen tremendous growth in the Digital Media network on a year-over-year basis with the addition of those two networks. As I mentioned, we were really pleased, and as Ellis mentioned in his remarks, to get certifications of mall network under the COMMB certification. That will provide advertisers with more comfort on the metrics that they're getting in advertising in our mall network. So you should expect to see continued growth into 2025. I will say you're not going to see the same level of growth that we achieved in 2024, given that we're not adding new networks to date. On your second question, which is on minimum wages, look, we've seen -- we would hope and we encourage provinces across the country to increase minimum wages in line with CPI growth. That is where the business community would like to see things go. We do know that there's early announcements in one province in Nova Scotia to go above that amount. We would expect and hope that minimum wage increases across the board would be sort of potentially in that 4% aggregate range.
Ellis Jacob: And on that, we are using our technology to help us as it relates to the wage and the employees that are working at our locations.
Drew McReynolds: Yes. Got it, yes. That's helpful. Okay. Last one then on my side just on the LBE and store-level EBITDAaL. Gord, you had talked to payroll and occupancy and some recoveries in 2023. Just in terms of Q4 tax, just wondering, are we still looking at kind of 25% overall store-level EBITDAaL margins for the LBE business? And then presumably that to get back to that level takes a little bit of ramp-up, just given some dilution from some of the locations you opened in Q4? Or just how should we think about that one?
Gord Nelson: Yes, look our ultimate goal is still be at the 25% EBITDAaL level margin. When we look at some of the metrics that we have described previously on an annualized basis, we're looking to do about $10 million average on box per box, at a 25% EBITDAaL margin. For 2024, we were about $9.8 million, so slightly below that. But we have -- we had invested fairly heavily in virtual reality as an attraction in most of our LBE boxes. We're transitioning out into new attractions that will drive increased spending within the block. So yes, we're comfortable to get back to the levels that we had previously described.
Operator: Our next question comes from Aravinda Galappatthige from Canaccord Genuity. Your line is now open. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. Just on the CPP and BPP numbers, you had alluded to sort of some price action to go with inflationary conditions. Maybe just, Gord, you can talk to sort of any kind of sensitivity you've sensed there and your inclination to perhaps continue to use price adjustment to drive forward those metrics? I'll maybe start there.
Gord Nelson: Sure. So in 2024, when you look at the year-over-year comparisons, pricing increases, let's just call them on about 5%, so 5% for ticket prices, 5% for concession prices. But if you recall, we were coming out of a higher inflationary period through '23 and '24. Again, the primary driver for attendance is really the quality of film product. We like to say that we're a low-cost affordable out-of-home entertainment. We do know that customers want value, and we look at value through other means to our consumers, which includes pricing and selective discounting. So going forward, we will see the incremental impact of some of those pricing changes that have been put in place in late 2024 or from a box office perspective, in the midpoint of 2024...
Ellis Jacob: And on the BPP which is box office, it's really the premium offering that also made a difference in the overall box per person because we had 41% of our patrons come through and see movies in these premium offerings. And some of the premiums have higher pricing compared to others but that helps the overall box per person. And concessions, we continue to increase the basket size and also the benefits of the alcohol that we've had over the last couple of years.
Aravinda Galappatthige: And then just maybe to follow up on the earlier question about what the slate looks like. And I fully agree with Ellis's comments around Q2 and Q4 is certainly looking good. I mean, particularly Q4 of '25 looks quite strong. Recognizing it's very early days, based on the way the sort of the dates are lined up, 2026 looks sort of unusually strong. I don't know whether it's premature to even have that discussion, but we're seeing sort of the return of sort of big franchises like The Avengers and so forth. Maybe, Ellis, very generally, you can share sort of conversations you've had in the industry about that? Anything you can share on that front would be helpful.
Ellis Jacob: Yes. So most of the studios are basically looking at 2026 as being a normal year as we look forward because we've gone through -- we went through COVID, we went through the strikes, and now as things move forward and movies got moved around, I think what you want to see is a lot more movies sitting in the appropriate months that they've been allotted for. And you also have both Amazon very interested and Apple also continuing. And I just got a note about the movie F1 that they saw in Los Angeles and said it was extremely strong. So those are the kinds of extra product that we will look to do and do extremely well with.
Operator: Our next question is a follow-up from Derek Lessard of TD Cowen. The line is now open. Please go ahead.
Cheryl Arthur: Hi, thank you. Just a couple of follow-ups. So first on the LBE revenue. In the MD&A, you've noted a decline in media and ticket events. So could you provide some more color there? Is that driven by reduced corporate spending or what are you seeing in terms of the noncorporate consumers?
Gord Nelson: Cheryl, it's Gord. Actually, the corporate events increased year-over-year. I think if I looked at our -- so we're about 22% in Q4 coming from groups and events versus about 20% in the prior year. So corporate events are doing well. If we saw anything in the quarter, it was perhaps occurring -- there's two impacts in the quarter I would maybe potentially call out. One was -- so in the month of October, overall business was down, and it was down on weekends. And if you recall, October was a very warm month for us so we did not get as much in venue traffic as we typically would in October. November was up. And then in December, in that holiday period so those two weeks, and as again, as I mentioned, groups and events, so corporate events was up, but the walk-in traffic was down a little bit in those two weeks. And that could be an early sign of where consumer confidence was in, but nothing that we expect to see sort of on a go-forward basis. Those are just some of the nuances that we saw in the quarter.
Cheryl Arthur: Okay. And then just one more for me. In terms of your theater occupancy, I think the costs are quite low at $16 million compared to Q1 to Q3 at around $18 million to $19 million. Is this seasonal or is that somewhat tied to the rent renegotiation that you mentioned earlier in your prepared remarks? What will be a reasonable level to assume going forward?
Gord Nelson: Yes. So typically on those, we -- from time to time, we'll get recoveries with respect to property tax appeals. So it's -- I would say the Q4 amount is low relative to where you should expect things to go on go-forward basis. And just so everyone knows on the call, with IFRS 16, the lease costs are not recorded as part on the income statement. It's just what the common area maintenance insurance to a certain degree. So that -- those are the items that appear on -- in the sort of the $17 million number that...
Cheryl Arthur: Sorry, Gord. I think you were cutting out at the end. So did you say around $17 million per quarter or was that a different number?
Gord Nelson: Yes. So sorry, the number that you -- so the roughly $17 million per quarter represents the common area of maintenance, taxes and insurance related to our buildings. So when you see an amount below that in a quarter, it's typically that there's been a recovery, which is more of a onetime recovery.
Operator: At this time, we currently have no further questions, so I'll hand back to Ellis Jacob, President and CEO, for any further remarks.
Ellis Jacob: Thank you all for joining us this morning. We are excited about the outlook for 2025 and beyond. We look forward to sharing our first quarter results in May 2025. Have a wonderful day and enjoy the movies.
Operator: Thank you, all, for joining today's call. You may now disconnect your lines.